Operator: Good afternoon, and welcome to the Weight Watchers First Quarter 2014 Earnings Conference Call. All participants will be in listen-only mode. (Operator Instructions) After today's presentation, there will be an opportunity to ask questions. (Operator Instructions) Please note, this event is being recorded. I would now like to turn the conference over to Corey Kinger. Please go ahead.
Corey Kinger: Thank you, Ed, and thank you to everyone for joining us today for Weight Watchers International first quarter 2014 Conference Call. With us on the call are Jim Chambers, our President and Chief Executive Officer; Nick Hotchkin, our Chief Financial Officer and Dan Crowe, our Chief Technology Officer. At about 4:00 p.m. Eastern Time today, the company issued a press release reporting the fiscal 2014 first quarter results. The purpose of this call is to provide investors with some further details regarding the company's financial results, as well as to provide a general update on the company's progress. The press release is available on the company's corporate website located at www.weightwatchersinternational.com. Reconciliations of non-GAAP measures disclosed on this conference call to the most directly comparable GAAP financial measures are also available as part of the press release. Before we begin, let me remind everyone that this call will contain forward-looking statements. Investors should be aware that any forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from those discussed here today. These risk factors are explained in detail in the company’s filings with the Securities and Exchange Commission. Please refer to these filings for a more detailed discussion of forward-looking statements and the risks and uncertainties of such statements. All forward-looking statements are made as of today and except as required by law, the company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. I would now like to turn the call over to Jim.
Jim Chambers: Thanks, Corey, and good afternoon everyone. Thank you for joining us. Since our last earnings call on February 13th, we have been focused on advancing our transformation plan and my remarks today will cover our progress. In addition to taking you through the details of our Q1 financial results, Nick, will give you a progress update on our cost management initiatives and review our outlook for 2014. Also here with me today is our Chief Technology Officer, Dan Crow, who joined the company late last year. As we indicated our last call, we have asked Dan to speak directly with you today about our technology reinvention, with an emphasis on how it relates to creating new products. I'll get started with a progress update on our transformation plan. To recap our four strategic pillars are, one driving immediate performance improvement. Two, reimagining our core offering. Three, growing our healthcare business. Four, strengthening our organization. Turning to our first pillar, driving immediate performance improvement, the competitive frame of the weight loss market continues to evolve as free apps and activity monitors generate significant consumer interest and influence to trial dynamics in the category. In that context, our pillar one performance priorities for 2014 are centered on consumer activation, member engagement and cost reduction. Q1 revenue of $409 million and net income of $21.5 million or $0.38 per share came in better than expected. The continued significant year-over-year declines reflect the fact that we are still facing serious challenges, especially in North America and the U.K., which saw declines in paid weeks, both in meetings and online. That said, our recruitment trends while still negative are no longer getting worse. In response to continued weak recruitment performance early in Q1, our business units took quick action, which helped our result somewhat as we moved through the balance of the quarter. New advertising creative helped in a number of markets, most notably North America and the U.K. North America shot new ads featuring Jessica Simpson, while the UK created new ads highlighting the power of food and food choice. Adapting our advertising continued in Q2 as we roll out fresh creative with markets benefiting from each other's learning. The U.S. and Germany for example added food-focused ads modeled on the U.K. approach to their rotation to begin the spring campaign. The teams also have been exploring new promotional tactics with discounts on long tenured packages in North America and group buying discounts moving the needle in the U.K. and continental Europe. Here too, the activity continues into Q2. Our retention performance in the quarter remains in line with the past. We continue to focus on member engagement and our efforts to connect more directly with members early in their tenure are showing promise. While it's still too soon to fully read results, we are learning more about how to help members get off to a strong start with our program leveraging increased contact with service providers in person and through digital support. In addition, we are opening up our platform for integration with leading activity monitors and expect our implementation to begin in Europe in the middle of this year. Expense management remains an important focus for the company and one to which we are fully committed. Nick will expand on the details, but highlights include exiting select money-losing international operations, a restructuring of our headquarters and field organizations and better alignment of our meeting network. Our transformation plan calls for $150 million in gross annualized cost savings across 2013 and 2014, and we are on track to hit this target. While we continued to take cost out, we're also investing in the future. Most notably, in our forward product strategy and in our healthcare initiatives which brings me to pillars two and three. Pillar two is our product strategy and it calls for reimagining our core offering. While the bulk of our effort is focused on prototyping changes for 2015 and beyond, we are addressing near-term opportunities as well. In 2014, we are expanding our program instructions through webcasts, improving our search and tracking performance and opening up our platform to integration with leading activity monitors. Looking ahead, we are implementing fundamental changes in how we define and present Weight Watchers. Our future product roadmap and the positioning of our brand will be underpinned by five tenants, which I would like to share now. First, we will always retain our leading position with respect to efficacy and trust. Satisfaction and proven results are critical to a successful weight loss program. The second product tenant is leveraging community and person-to-person interaction. We have always had this in our meetings business and have confirmed that tools alone, technology alone, food programming alone will never reach the levels of success or possible in their combined with human engagements to guide and provide accountability. The strength of the Weight Watchers brand is and always will be in the human connections that make a weight loss journey successful between members and our service provider, between members and other members and between members and their social circles. Moving forward, we will be bringing this to the digital environment adding human interaction to the online model. Third is personalization. While consumers continue to give us great credit for being a plan that works, we fall short on being quote "a plan for someone like me", which is the number one driver of consumer interest in the category and underpins much of what we know as the do-it-yourself market, the biggest compliment of the weight loss market. Personalization covers our means of interaction, group, one-on-one, digital and in person as well as how we individualize our program and support model. Fourth, and in some ways most important, is the opening up of the brand. Weight Watchers has incredible potential to be a broader and more inviting brand. It can represent an invitation to a movement, rewarding members for their participation and progress in addition to their in-state achievements. Living a healthier life is not a sprint to the finish line, but a lifelong journey. Finally, we will be consumer-driven in everything we do. We're listening to the consumer, we are learning and we are leveraging these insights as we develop both, the product elements and the marketing positioning of our offering. These five tenants of our offer strategy or sound, but by themselves they won't transform our company. We need to couple them with the expansion of capability and our service provider networks and the creation of an advantaged product development process with a particular focus on digital. In our call on February 13th, I indicated that internally we had chosen our direction for winter diet season 2015 innovation. I can add some color to the statement at this point by confirming consistent with our longer term product strategy that I just reviewed we will be expanding the personalization content of our offer and leveraging our service providers through tailored one-on-one member interaction. We believe this represents a significant opportunity to reach new consumers and provide program guidance, inspiration and accountability delivered to their individual needs. Let me turn to pillars three, growing our healthcare business. We have known for some time that the healthcare channel represents a significant and logical opportunity for Weight Watchers. We feel we can be relevant to both, the wellness and medical subsets of the healthcare market and create a significant incremental channel for the acquisition of new consumers. As previously communicated, we are committing the resources necessary to deliver on the requirements of this channel. These capabilities will also enable us to fuel growth in our existing strategic employer market. In particular, we are making progress on our technology capabilities, including data management at an individual level, further enhancements to our privacy protection and process improvements around such areas as eligibility verification, billing and reporting. Over the past several months, we have approved the significant investment to upgrade our systems infrastructure and core processes to help ensure that we are broadly capable of servicing the healthcare sector beginning in 2015. Our discussions with interested healthcare companies are progressing well. As we outlined on Investor Day, we expect meaningful revenue contribution beginning in 2016 and beyond. In the near-term, we remain optimistic that with the supporting check enablement, we could have a partnership in place for market entry potentially as early as the 2015 benefits season. In March, we launched Weight Watchers for diabetes through our direct employer channel, which serves and meet needs of employees with Type 2 diabetes by integrating personalized coaching into the Weight Watchers proven approach. In addition to attending Weight Watchers meetings and using our digital tools, participants are paired with a certified diabetes educator and dietitian who are specially trained in the Weight Watchers approach. Orlando Health one of Florida's most comprehensive private not-for-profit healthcare networks signed on as our first organization to offer Weight Watchers for Diabetes to its employees. We have developed a unique employee marketing program for Weight Watchers for Diabetes and have equipped our Health Solutions sales team with a strong selling story for current and new customers. We have designed this program to handle a scale up of members over time and expect that there will be a steady market adoption of the new offering. Lastly, we continue to make progress on our fourth pillar, strengthening the organization. We have built a strong senior management team, which with the joining of our new General Counsel, Michael Colosi in a few weeks will be complete. Our recent organizational restructuring evidences the strong steps we are taking to improve the way we operate both, in terms of simplifying workflows and accountabilities as well as reducing G&A spend. We are excited about our new partnership with advertising agency Wieden Kennedy in the U.S. with whom we are working hard to understand the potential for repositioning our brand and supporting our new product strategy and we are hard at work bringing change to our technology capability set. We have been constrained by legacy architecture and methodologies in our current systems, but that is now undergoing a complete transformation under Dan Crowe's leadership. Now, I will turn it over to Dan and let him share his views and provide an update on our technology strategy. Dan?
Dan Crowe: Thanks, Jim. I am very excited to join Weight Watchers as the new CTO. Technology is central to the company's future. I believe we have a great opportunity to uplift our technology capability and drive real product innovation, which combined with our considerable assets will help return this company to growth and expand our leadership position. A little background, I have a broad technology perspective developed as a consultant with IBM, Delloitte and Accenture and as an operator. This is my third sea-level executive role leading a technology and product organization. Previously, I was Chief Information Officer and then Chief Product Officer AutoTrader.com, the leading online automotive marketplace. My kind of fame there was that I helped to build a tremendous product development capability that jumpstarting innovation and propelled AutoTrader.com to market leadership. We won many J.D. Power awards for consumer experience and we were able to compete and win against other nimble startup as well as free alternatives like Craigslist and Google Organic Search. I am bringing that same commitment to innovation and startup energy to Weight Watchers. We need to uncork the pent-up demand for innovation and I feel confident that we can do so. I have been here five months now and I feel like I have my arms around the situation. It's obvious that Weight Watchers has had success in the past with technology. The online offering had been successful in what I would characterize as a mid-2000s technology model and when I arrived the team is still working in that model. We should all appreciate that Weight Watchers' technology runs a large-scale operations, supporting millions of members, millions of downloaded apps around the world and tracking over 1 billion food items in our database, but that is not enough. The great commercial success of our weightwatchers.com products led us to behave as an incumbent and as a result we were slow to adopt the technology capability that is required to meet changing consumer expectation and compete in the digital era characterized by mobile, social, connected devices and open API. Technology plays a central and enabling role in the reimagining of our products and product development is a major focus area for us. We are challenging the assumptions and approaches the drove our past success and we are accelerating our migration from the old technology models, which are now too slow and too costly. We are widening our innovation pipeline to align with the rising expectations of consumers and partners in a rapidly changing space. We are expanding our offerings to better serve current members and enhance our appeal to a broader set of potential members. We are becoming bolder and faster to be more like the innovators who are entering the space. We have an ambitious technology vision. We will become a 21st-century technology organization, engineered for the digital era, whose innovative technology fundamentally improves the way people manage their weight, health and wellness. We will be agile service-oriented, data-driven, cloud-enabled and efficient. We will be a model for digital technology in the markets in which we compete and we will be a magnet for talented innovators both, inside and outside the company. Technology is essential for the company's overall transformation plan. The entire executive team is committed to a 12-month horizon for turning our technology-base from a legacy challenge into an enabling asset. When we get there, we will be able to launch a product in a matter of months. Not a year. Quickly learn from the market and iterate in two-week sprints rather than release many months later. Expand our offerings of both, new and existing spaces with strategic partners and become a strong player in the API economy. No one is better positioned than Weight Watchers to be a hub of a weight loss, health and fitness ecosystem, fueled by the latest technology innovation. Most importantly, we will be able to say that we recognize the inflection point and we transformed from being disrupted to being the disruptive. In so doing, we will have returned this great company to grow. In terms of specifics, how will we fulfill the station? By pursuing six paths to technology transformation. First, we are embracing the new economics of technology. The world of technology has changed dramatically. We are adopting variable cost models, including cloud and other as-a-service capabilities and open-source. Additionally, we have taken steps to contain legacy spending and restructure key vendor relationships. Second, we are mobilizing for innovation and agility, we are adapting agile development processes, we are deploying joint product and technology teams highly aligned with Catherine Ulrich, our Chief Product Officer and her team. We are adopting modern DevOps processes to help improve quality and we are adopting a mindset of launch fast, learn fast, iterate fast. Third, we are modernizing our architecture and platform. It is essential that we move to new newer, more modern technologies, including open-source and cloud and with upgrades to content management, search and database technologies. We have launched a new tech platform project, which we call the [chassis], and we are taking big step in our device integration capability as well. Fourth, we are strengthening the technology organization. We are reorganizing the technology group. We are launching new innovation teams, which we call green team to drive improvements in our digital experiences. It's essential that we instill a culture of innovation and performance and adopt more of the startup mentality. We will take advantage of our presence amidst the Silicon Alley, [hotbed] New York City and add a footprint in Silicon Valley. Fifth, we are building a data and insight engine. We can take much better advantage of our vast data stores referenced earlier, which could be a significant source of differentiation. We are evaluating new technologies like Big Data and advanced analytics, which can offer enhanced capabilities to better understand the needs of our members. Sixth, we are opening up to the outside world. As Jim said, we recognize that we don't have to do it ourselves. Let's deploy the platform and APIs that allow us to partner quickly and effectively. Let's identify the innovators who can help us expand our offerings and our market space. A great example of this last point is a recent acquisition. Earlier this month, we acquired Wello, a San Francisco-based startup that offers one-on-one and group fitness training online delivered with leading-edge technology. Wello leverages technology to offer consumers the convenience of working out when and where they like, plus the motivation and accountability of a personal trainer. I am impressed with Wello's talent, their technology and their platform for delivering personalized services, which is aligned with the personalization agenda that Jim mentioned earlier. Further, Wello helps us establish a foothold in the Silicon Valley technology community and they will help us develop strategic opportunities. We are very pleased to welcome Wello into the Weight Watchers' family. In summary, we have a big task at hand, but we have a huge prize that lies before us as we follow our new path and achieve our vision. I look forward to taking your questions and providing future update. Thank you. Now, I will turn it back to Jim.
Jim Chambers: Thanks, Dan. To repeat what Dan said, we are all committed to a 12-month horizon for turning our technology base from the legacy challenge into an enabling asset. We have the resources and I'm confident if we are resolute and act with urgency, the team can do it. Now, I will turn it over to Nick for more detail on our financial performance and a look ahead for the balance of 2014. Nick.
Nick Hotchkin: Thanks, Jim, and good afternoon everyone. As previously discussed, at the start of 2014, we realign our organizational and reporting structure, shifting to geographic segments reflecting the managerial integration of our meetings and online businesses. We now have four reportable segments. North America, United Kingdom, Continental Europe and Other. Reported EPS was $0.38 compared to $0.87 in the prior year's first quarter. My remarks regarding company performance will exclude both, the acquisition related Brazil gain and the Q1 restructuring expense. Excluding these two items, which I will touch on a bit later, we delivered EPS of $0.31. Total company revenue declined 16.6% in Q1. Meeting fees and online revenues experienced declines of 16.5% and 11.7%, respectively. In-Meeting product sales declined 25.3% and all other revenue declined 17.4%. During Q1, we saw some signs of stabilization in our top-line trends as we made some adjustments to our advertising, which had a positive impact on recruitment trends relative to what we have been seeing prior to the advertising changes, particularly in the U.K. and in our North American Meetings business. First quarter total paid weeks were down 13.9%, primarily driven by declines in meetings and online in the U.K. and North America. End of period total global active subscribers declined 13.7% to 3.6 million from 4.2 million a year ago. Monthly pass active subscribers declined 12.6% to 1.5 million and active online subscribers declined 14.5% on a year-over-year basis to 2.2 million. Despite nimble cost management, our lower revenue had a substantial pressure on the P&L, resulting in a Q1 operating income decline of $52.1 million or 50.5%. Turning to our results by geographic segment, which I will discuss on a constant currency basis, our North America business remained under pressure. In the first quarter, total North America revenues declined 20.6%. Within this, meeting fees declined 20.3% and online revenue declined 16.9%. Meetings paid weeks declined 18.3%, online paid weeks declined 16.5%. In-Meeting product sales declined 33.6% with product sales per attendee down 16.5%, primarily driven by lower sales of enrollments product. Our U.K. business also remained under pressure. In the first quarter, total revenue was down 19.2%, which includes meeting fees, down 18.2%, and online revenue down 12.4%. Meetings paid weeks declined 17.6%, online paid weeks declined 12%. In-Meeting product sales declined 27.6%, with product sales per attendee down 16.4%. During the quarter, we did see improving recruitment trends in the U.K. as we revamped our marketing approach. In the Continental Europe, total revenues decreased 1.3%. Online revenue increased 9.4%, but was partially offset by meetings fee decline of 3.3%. Online paid weeks increased 6.6%, benefiting from a higher active subscriber base at the beginning of the year as compared to the beginning of fiscal 2013, partially offset by negative recruitments in the quarter. Meeting paid weeks declined 3% and In-Meeting product sales declined 7.9%, with product sales per attendee down 5.4%. Within Continental Europe, France was a notable highlight for the quarter with strong performance driven by an effective promotional activity. Now, I will cover recent geographic portfolio developments. Towards the end of last year, we assessed our portfolio and made the decision to focus our resources on markets with the highest near-term potential. Since we last spoke, we shut down our operations in Denmark and took a controlling position in our Brazil partnership. We will continue to assess our portfolio, but with these changes in addition to the closure of China at the end of 2013, we do not expect additional portfolio actions in the remainder of 2014. During the quarter, we acquired an additional 45% equity interest in our Brazilian partnership for $14 million. Thereby increasing our equity interest to 80%, we had been a minority owner in the partnership, which is the number one of weight management brand in Brazil for more than 40 years. While not currently a big contributor to our financial results, Brazil represents an attractive growth opportunity. The business is profitable and has local management and team members in place that have been operating the business with a successful track record of growth. As a result of this Brazil transaction, we recorded a pre-tax gain of $10.5 million or $0.11 a share in Q1. Now, I will review some key financial metrics for Q1 2014. We incurred a pre-tax restructuring charge of $3.7 million or $0.04 per share in connection with the first phase of our previously disclosed plan to resize the organization. We continue to expect to have approximately $10 million in restructuring expenses this year, split fairly evenly between OpEx and G&A with the majority of the remainder to be expensed in Q2. In total, we will have reduced our global headcount, including in both, headquarters and field management by 250 physicians or approximately 15%. We are implementing major field restructurings in the U.S. and the U.K. and there have been headcount reductions in most countries' end functions. Our philosophy continues to be investing in key areas in support of future growth but to cut aggressively elsewhere. We continue to make good progress to our gross annual run rate savings goal and recall that we are targeting to reduce our cost base by $150 million as compared to the end of 2012, and we are on track to achieve this goal by the end of the year. To review the details of the $150 million cost savings plan, in 2013, we achieved cost savings of approximately $90 million by rightsizing our marketing spend by $60 million and reducing OpEx and G&A by a total of $30 million. In 2014, we plan to further reduce costs by $60 million, exclusively from OpEx and G&A savings. While we do expect our marketing spend to be lower than prior, we are not relying on additional marketing spend reductions to achieve the $150 million savings goal. Of the $60 million of OpEx and G&A run rate savings in 2014, approximately two-thirds is OpEx and one-third is G&A. Operating expense reductions include vendor efficiencies, reductions in number of meetings we need, the drop in hours and field restructurings. In G&A, we are building on our progress last year on professional fees and other corporate expenses and also are implementing the headcount reductions that we have discussed. Now, to the P&L detail excluding the impact of the restructuring expenses. In the first quarter, gross margin declined 300 basis points from the prior year to 54.8%, primarily due to operating cost deleverage as well as the impact of our 2013 U.S. service provider compensation changes. Q1 marketing spend decreased $6.9 million versus prior to $115.3 million, primarily driven by lower production costs and continued focus on digital marketing efficiencies. Q1 G&A expenses decreased 6.8% versus prior to $54.4 million driven by our cost savings initiatives and some one-time benefits, partially offset by ramping spend in connection with our healthcare initiatives. Our Q1 tax rate was 40.3%, driven by international timing issues and in the quarter foreign currency impact on our results was negligible. Cash flow from operations was $83 million for Q1, and we ended the quarter with $232 million in cash. Our $2.4 billion outstanding term loans do not have any restrictive leverage related financial covenant and our next meaningful debt maturity is $300 million due in 2016. Note that our revolving line of credit is undrawn and we have no plans to utilize this bank facility. Now, I will discuss our outlook for 2014. While our year-over-year recruitment trends are weak, they are no longer getting worse. As a result, our revenue is likely to be slightly better than our previous outlook, but nonetheless we still expect it to be roughly $1.4 billion for the full-year. For Q2 and the full-year, we anticipate year-over-year revenue and paid weeks' trend to be down mid-teens, roughly in line with Q1. In North America, we anticipate that Q2 and full-year revenues will decline in the low 20s and total paid weeks will decline in the high-teens, with meetings paid weeks performing slightly better than online paid weeks. In the U.K., for Q2 and the year, we expect revenue and total paid weeks to decline in the low teens, reflecting some improvement versus Q1 with online and meetings paid weeks performing similarly. For Continental Europe, we expect revenues for Q2 and the year to be essentially flat and in line with Q1. Total paid weeks are expected to be flat for the second quarter and for 2014 as a whole, with online paid weeks performing a bit better than meetings paid weeks. Onto gross margin, as we move through the year, we continue to expect gross margins to decline by up to 400 basis points, with Q2's decline being slightly less than that. This decline is driven primarily by operating deleverage and also includes the incremental expense related to our U.S. service provider compensation program that we implemented in 2013. We now anticipate that full year marketing expense will decline by at least $25 million, with a substantial portion of the incremental savings coming in Q2. For the full-year, we continue to expect G&A to be down low single-digit percentages versus prior. As we move through the year, G&A will be impacted as we ramp up our investments in our strategic initiatives. Below the line for the year, we expect interest expense of approximately $125 million. For the full-year, our tax rate will be approximately 36% as a result of an unusually low rate in Q2 of approximately 32.5%, due to tax benefits from the write-off of intercompany company debt following the shutdowns of China and Denmark. For 2014, we expect to spend about $50 million on CapEx, with D&A for the year of about $45 million. With the company's $232 million cash balance and continued positive cash flow generation this year, the company has strong liquidity. As demonstrated by Wello and Brazil, we continue to pursue selective investments, but paying down debt remains our capital structure priority. We are raising our 2014 EPS guidance to a range of $1.45 $1.70. This guidance excludes the $0.11 Brazil one-time gain from Q1, the anticipated positive $0.07 Q2 tax rate adjustment and the full-year $0.11 of severance costs related to our restructuring. Thanks, everyone. I will now hand the call back to Jim.
Jim Chambers: Thank you, Nick. In closing, we still have a lot of work ahead of us, but I am encouraged by the progress we have made in our transformation plan so far this year. The remainder 2014 will certainly be challenging as we face a difficult recruitment environment. With the team as energized, motivated and focused. I'm confident we have the plan, people and tools in place to deliver into 2015. Thanks for joining our call today. We will now open it up for questions.
Operator: Thank you. We will now begin the question and answer session. (Operator Instructions) Our first question comes from Glen Santangelo of Credit Suisse. Please go ahead.
Glen Santangelo - Credit Suisse: Yes. Thanks and good evening. Jim, I just wanted to kind of follow-up on some of the comments you all made in your prepared remarks and your recruitment trends are no longer getting worse. It kind of sounds like, when we spoke last time in February, you were clearly seen year-over-year declines that to some extent I guess were a little bit steeper more concerning than maybe what you had expected in Analyst Day. Can you give us a better sense for maybe what changed in March, and have you seen that sort of continue throughout April here. I think someone in the prepared remarks suggested that it was some of the advertising changes. Could you just maybe give us a sense for maybe what you are doing different that maybe drove that inflection point, because it certainly doesn't seem like the competitive landscape has really changed any.
Jim Chambers: Yes. Sure, but I am actually ask Nick to comment on that, but just dimension wise is, we are talking about smaller changes not larger changes. Nick, you want to take that?
Nick Hotchkin: Yes. Look, I think that's absolutely right Jim. The environment is a little bit better, but the headline here's result forecasting revenue of roughly a $1.4 billion, so still $300 million below last year and that's what's driving the P&L. Yes, but versus our Analyst Day, going into the first quarter, at start of the first quarter things did deteriorate and we are pleased to see that they are no longer getting worse. We were seeing signs of stability. As you mentioned, Glen, the competitive frame isn't really different, so what I think we are seeing in '14 is what we hope to see that Weight Watchers team translating the energy sore on own cost in '13 into innovation and marketing for the tech innovation that Dan talked about. We introduced the new ads with Jessica, we mentioned like all the new foods-focused that initiated in the U.K. now we bought the U.S. for U.S. spring campaign. I think, the business as a whole worked well on the effective promotional tools, including at CRM. There was a little bit local marketing in the U.K. There is a lot of little things on the - it feels a little bit better, but recruitment trends are still very weak for this business.
Glen Santangelo - Credit Suisse: I appreciate the color on the recruitment side. Jim, I think, if I heard you, you said that the retention what you are seeing is being sorted in line with the past. I mean, can you maybe elaborate in terms of your sort of customer duration. I mean, it sounds like no changes to that kind of eight months sort of estimate and I am just trying to figure out as we sort of model out the water flow here for the rest of the year. Basically, should we assume that the retention based on some of your reference, you are not really seen any meaningful changes in retention at this time. Is that a fair assessment?
Jim Chambers: Yes. Far as you are modeling, that will be your modeling, obviously, but we are seeing stability in that statistic. That's correct.
Glen Santangelo - Credit Suisse: Okay. Then Nick, last question, I mean, you obviously shutdown Denmark, I mean some of these closures of some of these money-losing operation. Is that really helping EPS in any meaningful way that's worth mentioning?
Nick Hotchkin: No. That is really not a big driver of the year's results. We were pleased to be able to focus our activities on better near-term opportunities and that was the rationale behind increasing investments in Brazil.
Glen Santangelo - Credit Suisse: Okay. Thanks for the color.
Operator: Our next question comes from Jason Anderson of Stifel. Please go ahead.
Jason Anderson - Stifel: Good evening, guys. Thanks for all the color on the technology plan. I guess, it seems quite like a tremendous task ahead and you were mentioning a 12-month plan. I assume maybe not all of that is happening or maybe could you provide some more color on maybe a little bit more what you expect in a 12-month is it. I am thinking your meaning and 12 months, you'll be able to address the healthcare opportunity more with your systems or technology platform is. Could you elaborate?
Dan Crowe: Sure. This is Dan. Actually, I think, we can do a little better than that. We need to have the platforms in place for healthcare initiative by the end of the year and we are targeting on that. We definitely are focusing on product and innovation and then healthcare platforms to make that happen. I do believe that a year from now we can say we have significantly moved away from our legacy systems, we have developed a much faster much more robust product innovation engine sitting on a new platform and then really the investment in the core business systems that are driven by healthcare initiative will be in place.
Jason Anderson - Stifel: Great. Thanks. Then could you provide any framing on maybe cost or the investment into that? I know you guys have done a lot already, but it seems like there's still plenty more to go and how should we think about that in relation to the cost-cutting?
Dan Crowe: Well, I'll jump in and let Nick help me out, but we invest a lot in tech already and we've approved a major investment in healthcare. I think, we have a fair bit to work with and we need to get more out of that investment. What I'm trying to do is, redirect legacy spend and shrink that down and a lot of our legacy spend is somewhat discretionary, because it is with the professional fees and we can dial that back or redirect it if we want to, so I think we have some degree of freedom there, so I'm trying to work with what I have, any additional investment that's been authorized for the healthcare initiative and work within our exiting plan.
Jim Chambers: Look, I think that's absolutely right, Dan. This year as Dan said, the focus is on using tech reinvention to improve our innovation and product building capabilities. Frankly, that's partly why we were forecasting our G&A to decrease low single-digit this year, so tech efficiencies and savings on a meaningful driver of our G&A forecast this year going forward in the out years as Dan pursues his reinvention, it could be a useful lever going forward.
Jason Anderson - Stifel: Great. Thanks for all the color.
Operator: Our next question comes from Sean Kraus of Barclays. Please go ahead.
Meredith Adler - Barclays: This is actually Meredith Adler from Barclays. I guess, I would like to talk about two things. I think this question was sort of asked, but I was hoping to get even a little more detail. Can you actually tie the recruitment behavior to new ad that comes out, did weather have any kind of an impact? Then I guess kind of what gives you the confidence that what we are seeing, you say it's stabilized, but how do you know that we are just not, I hate to say it, but just a fluke in the last month or two.
Nick Hotchkin: Yes. Look, there was certainly a lot of bad weather, particularly in the U.S.A. in the first few weeks of the year and we had multiple meeting closures versus year ago, but weather I don't think is a big driver of the stabilization. I think it's all focused on having the ads connect better with the folks from the promotional activity I described.
Jim Chambers: Just let me add. This is Jim, Meredith. This is not a particularly easy business to forecast. Further, given the high variable margins there is a pretty good flow through if estimates go one way or the other, so we should we should take this as our best view, but it is a difficult business to forecast.
Nick Hotchkin: Obviously, talking of forecast just one thing I would add. Look, I am aware that Q1 results as a whole of course are ahead of consensus, so we acknowledge that results came in a little bit better than we were expecting, but of course, we don't give details of quarterly guidance such as things were a little bit better, the fundamental of the situation of the business hasn't changed.
Meredith Adler - Barclays: Okay. Then I have a sort of more big picture question. I remember something you said Jim, I think, back in October about comparing weightwatchers.com to match.com. To get the math, it really do something like match.com. You not only have to ask people the right questions, do you have to be able to give them an outcome that is different and unique for each person and is it fair to say that that is the goal that you will have different. I think you also at that time used the word flavors. Our people will be able to go online and get guidance as to the best way for them individually to lose weight?
Jim Chambers: Meredith, first off please don't tell my wife I was on match.com. Second, I don't want to talk much more specifically than I did in the prepared remarks about commercial direction and particularly near-term as in January, but strategically and thinking of it in the context of the big picture as you asked it, I think there's two ways to think about the strategic direction. One is the content, do we bring something that is different for member A than member B that helps them with their weight loss journey. The second is the engagement model. Do we bring that through connection with Weight Watchers service provider, do we bring that on a one-to-one model, do we do that from a group perspective, or do we do that purely digitally, but all of those things to me represent the potential for flavors as you used the term.
Meredith Adler - Barclays: Then my final question would be - out of my head. I will turn it over to somebody else.
Operator: Thank you. Our next question comes from R. J. Hottovy of Morningstar. Please go ahead.
R. J. Hottovy - Morningstar: Thanks and good afternoon. Just wanted to ask a question about the Wello acquisition, because I do think it's an interesting way to tie together the legacy business. I was hoping to get a little more color about the actual rollout and how to integrate it with the existing business, how to communicate that members and more importantly, I guess, what are the opportunities to create new product based on the technology that they have?
Jim Chambers: Thanks for the question. I mean, just to go back and tie in a bit to what Dan said. I mean, there are three main areas of excitement around the Wello acquisition for us. First of all, we should all recognize that, in a good way this is a typical startup. This is a small company, but they have done some great things developing insights around how to serve our client base in a one-to-one model. They have a great team and pieces of their technology platform we think will be really significant for us as we evolve our products. I don't want to run too far down the road imagining exactly what the implications are and I won't comment more to them for the same reason I mentioned to Meredith that we won't talk to commercial implications, but those are real reasons that we are excited about the Wello acquisition.
R. J. Hottovy - Morningstar: Then I guess I had one follow-up question and Jim, your line about not having to everything on your kind of struck the cord of me there, particularly with regards to integration with activity monitors and some partnerships that you might have there, I just want to get more details about what that might entail, kind of the timing behind that. Then as kind of a follow-up to that also, what kind of tracking you are seeing with your actively length program namely adoption and [engagement] as well. Thanks.
Jim Chambers: Well, we still see a strong participation with our members on ActiveLink, and with no surprise we know from research that consumers view the process of managing their weight as one that's very closely related to how they think of exercise, how they think of fitness, so this sits in a very, very close consumer space from an adjacency perspective. We have got most of the technology work done. We anticipate that we are going to be live with a leading player in that category very soon beginning in Europe as I mentioned and throughout the balance of this year, you should see quite a bit more openness as in the ability for us to integrate with other API-driven devices. Not just activity monitors, but I think that's about as far as, our comment on.
Nick Hotchkin: …agree the ActiveLink always about good learning from seamless integration experience and the open architecture opportunities that could lead to, but yet we sold over 400,000 ActiveLink devices and the take-up rate in our monthly pass Active's penetration is in the 10% range, so it's a good learning for us.
R. J. Hottovy - Morningstar: Thanks. Our next question comes from Alvin Concepcion of Citi. Please go ahead.
Alvin Concepcion - Citi: I just wanted to follow-up on the Wello acquisition. It does sound promising. Just wondering appetite for acquisitions are going forward, do you believe there are other areas you need to build out or this sort of fill the needs that you are looking for?
Dan Crowe: Look, I think, Wello and Brazil show that we will selectively pursue acquisitions, but get us into good businesses or help us build capabilities faster than we might do ourselves on new capabilities. I think, based on what I know now, I would look at last year, where we had several franchised, domestic franchised acquisitions our view as being less acquisitive this year being selective and our capital structure priority is paying down debt.
Alvin Concepcion - Citi: Great. Then trying to understand that correctly and correct me if I am wrong, but it sounds like we shouldn't expect revenue growth for the full year 2015, but we should in 2016. With healthcare coming online and being a more significant driver of revenues in 2016, how much of your ability to grow revenues in 2016 is dependent on that contribution from healthcare?
Nick Hotchkin: I think, look, healthcare is an important growth contributor was us overall. This side we can [correct] $300 million plus business by '18, but the key to us returning to growth is first and foremost the B2C reinvention and yes, look at our Analyst Day, we said that we would aim to move to positive recruitment trajectory sometime during '15, which would lead to revenue growth in '16. Obviously, it's far too early to talk about what '15 revenue might, but I think you see from Jim and Dan that we are focused on probably the best winter diet season 15 that we can.
Jim Chambers: Yes. Clearly, as Nick said in putting the cost together. These things they sit together the strength of our B2B business and our healthcare business over time has really been the strength of B2C business. It's part of what's attractive about us to that channel. We are also a known brand, we are a proven brand or brand that can drive engagement, so the strategies by which we strengthened our B2C business place straight into the B2B business…
Alvin Concepcion - Citi: Thank you.
Operator: Our next question comes from John Faucher of JPMorgan. Please go ahead.
John Faucher - JPMorgan: Yes. Thanks. I want to talk a little bit about the guidance, because I think I am having trouble trying to figure out. I understand that things aren't fixed yet and then maybe there is a little bit of a just a temporary tailwind, but if I look at the upside in the quarter and look at particularly the gross margin guidance and try align kind of the year-over-year changes and things like that. I am having a hard time to sort of seeing numbers going up by just a small increase that you sort of ran through relative to the upside in this quarter, so can you talk about maybe some of the other offsets that were not seen. Then also just particularly on the gross margin, your guidance would indicate and I realize it's sort of up 400 basis points I think is the language, but we indicated actually things getting worse against some of your comps in the back half of the year, so what's driving that in particular? Thank you.
Dan Crowe: Thanks, John. Let me kind of walk through the P&L a little bit and give you some color on that. Prior guidance, $1.30 to $1.60, new guidance $1.45 to $1.70, so $1.575 admin point of the range, a 9% increase in the midpoint, increasing the flow by $0.15, the top end by $0.10. Starting with the top-line, the top-line is a little bit better as we have discussed, but still at $1.4 billion company. Gross margin, previous guidance was 400, now it's up to 400 reflecting slight improvement. Q1 was a 300-basis point deterioration. It gets worse through the year as we ramp up our investments in a strategic initiative and also through the year given the fact that our .com business is shrinking a high-margin .com business we are down by $75 million or so year-over-year. Note that mix impact saw our gross margin performance as we go through the year. Previously guided marking to be reduced by $20 million, the marking is a little bit better here, so decreased marketing is spend by at least 25. Then finally G&A, the first quarter G&A blueprint was a little bit artificially lower, so it also is accurate and correct, but it was driven by some one-time items that won't be repeatable through the year and G&A through the year will be impacted also by investments in our strategic initiatives, so I would expect the G&A to be higher as we go through the year versus what we achieved in the first quarter.
John Faucher - JPMorgan: Okay. Thank you very much.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Jim Chambers, CEO for any closing remarks.
Jim Chambers: Once again thank you all for your interest in our company and for joining us on the call today. Thank you.
Operator: The conference is now included. Thank you for attending today's presentation. You may now disconnect.